Operator: Good afternoon, ladies and gentlemen, and welcome to Global Industrial's Fourth Quarter 2025 Earnings Call. At this time, I would like to turn the call over to Mike Smargiassi of The Plunkett Group. Please go ahead.
Mike Smargiassi: Thank you, and welcome to the Global Industrial Fourth Quarter 2025 Earnings Call. Today's call will include formal remarks from Anesa Chaibi, Chief Executive Officer; and Tex Clark, Senior Vice President and Chief Financial Officer. Formal remarks will be followed by a question-and-answer session. Today's discussion may include forward-looking statements. It should be understood that actual results could differ materially from those projected due to a number of factors, including those described under the forward-looking statements caption and under Risk Factors in the company's annual report on Form 10-K and quarterly reports on Form 10-Q. I would like to remind everyone that the fourth quarter of 2025 closed on Saturday, January 3, 2026, representing 1 additional week in the quarter compared to the prior year. This added 4 working days to the quarter, which covered the period between the Christmas and New Year's holiday, typically our lowest sales week of any year. In addition, the first quarter of 2026 started on January 4 and will have a favorable comparison from the year ago period, which started on December 29 and included the impact of the New Year's holiday. The earnings release is available on the company's website and has been filed with the SEC on a Form 8-K. This call is the property of Global Industrial Company. I will now turn the call over to Anesa.
Anesa Chaibi: Thank you, Mike. Good afternoon, everyone, and thank you for joining us. Today, I'm happy to share that 2025 was a year of significant progress for Global Industrial that included quite a bit of change to better position the company for organic growth. I'm very pleased with the way the team stepped up and embraced the changes and executed to deliver on our full year financial results. We ended the year with good momentum across the business as average daily sales grew 7.4% in the fourth quarter, driven by both volume and price improvements. We delivered strong margin performance, generated healthy cash flows and today announced an increase in the quarterly recurring dividend for the 11th consecutive year. In addition, during the quarter, Global Industrial repurchased approximately 326,000 shares at an aggregate purchase price of $9.3 million. For the full year, we delivered $1.38 billion in revenue, representing growth of 4.8%. Overall, we are very pleased with the results, and Tex will discuss the financial performance in detail. Most importantly, we made progress on strategic priorities that we believe will allow us to accelerate the pace of change to grow the top line profitably and scale the business in 2026 and beyond. In the past year, we began the transformation of our business model and outlined core objectives: first, to become a more customer-centric company; and second, to refine our go-to-market strategy, particularly in realigning our sales, marketing and merchandising teams to reframe our value proposition by industry vertical. We piloted a number of changes to refine our approach to better serve the needs of our customers and to deliver profitable growth. So what did we do? I'll start with customer centricity. Throughout 2025, we continue to reframe our approach to put our customers at the center of everything we do. By driving continuous improvement in damage reduction, quality and distribution optimization, we maintained high service levels for our customers. Retention rates across our managed account base were strong as we again prioritized the customer experience and expanded upon our e-procurement capabilities. We completed the planned rollout of Salesforce for our sales, marketing and customer service teams. Having a single unified view of the customer has enabled data-driven and faster decision-making, helping drive efficiencies and more personalized engagement with our customers. In the year ahead, we will build on these investments to move closer to the customer and further enhance the service we provide. Next, on how we reframed our go-to-market. As we look to be more intentional and focused in how we go to market, we completed a comprehensive analysis of our position and listened to feedback from customers. We challenged ourselves with tough questions and emerged with actionable next steps. Today, we have a clear understanding of our customers' needs and expectations. By incorporating their feedback, we tested and piloted targeted solutions and are now realigning Global Industrial's product assortment, strategic account focus and sales organization to deliver on our refined value propositions across multiple industry verticals. On the merchandising front, we are expanding the product assortment to ensure we are providing the right solutions and products that help customers solve their problems. This includes broadening national brand relationships to move into new product sets that we know our customers are looking for and that are complementary to what we offer today. This really is just a natural extension of what we do each and every day. Specifically, we are expanding our assortment to include maintenance, repair and operations as well as consumable products. These changes create a significant opportunity to grow our share of wallet and capture greater market share. While we are in the early stages of this effort, we have had success with our initial pilot programs and are encouraged and excited by the progress and the long-term potential. On our strategic account focus, during 2025, we deliberately shifted resources towards strategic enterprise accounts and GPOs. These relationships tend to carry higher average order values, stronger retention and greater lifetime profitability, and we successfully grew these accounts in 2025. As part of this effort, we launched account-based marketing programs targeting these customers. These results have been promising, and we have seen good momentum, sales penetration and growth. In parallel, we began to move away from nonrecurring, lower profit transactional web business. This has been the right decision as we look to better serve our customers and focus on profitable growth. This brings us to sales realignment. As we align the organization to become more customer-centric in 2025, we have changed our go-to-market approach as we entered 2026. Our inside sales team, which has strong expertise and a tenured employee base have been realigned into customer verticals. This specialization will allow us to serve customers more effectively while gaining a deeper understanding of their unique needs. These targeted defined verticals that we have prioritized include industrial, commercial, retail, public sector, health care, hospitality and multifamily. During the second half of 2025, we successfully piloted an outside sales approach, and we are now building out a dedicated team. The outside sales reps will be calling on a combination of existing accounts where we have identified significant opportunities to expand the relationship as well as new account acquisition. To enable and support these changes, we put in place a new, more targeted and intentional sales, marketing and merchandising approach. This should position us well to effectively capture greater share of wallet from existing accounts and identify new customers that we have not historically called upon. We are driving change that will help us grow and evolve the business. The team is embracing these changes. There is a positive energy throughout the company, and we are excited about where we are headed, building off the progress we have made in 2025. Now I will turn the call over to Tex.
Thomas Clark: Thank you, Anesa. Fourth quarter revenue was $345.6 million, up 14.3% over Q4 of last year. On an average daily sales basis, sales grew 7.4%, double the rate of growth compared to the third quarter of 2025. U.S. revenue was up 14% and Canada revenue improved 19.7% on a local currency. This was Canada's third consecutive quarter of top line growth. And for the full year, Canada was up 9.2% in local currency. We recorded consistent growth throughout the quarter with gains across all sales channels. As we have seen for much of the year, performance continued to benefit from price capture, but in the fourth quarter, we also generated volume improvement. Order count growth remained strong among our largest and most strategic customers, while volume gains returned in our web business for the first time in 2025. As of today, we have seen momentum continue with sales currently pacing up through the first half of the quarter. We have a favorable fiscal calendar in the first quarter of 2026, which started on January 4, while the first week of Q1 2025 included the New Year's holiday. Outside of this timing benefit, we have seen continued revenue growth in the mid- to high single digits. Gross profit for the quarter was $119.1 million. Gross margin was 34.5%, up 70 basis points from the fourth quarter last year. We remain pleased with our margin performance. On a sequential basis, as expected and in line with historical performance, gross margin pulled back from the third quarter of 2025 and primarily reflects product mix and peak season freight surcharges, which we chose to not pass through to our customers. Management of our margin profile remains a key area of focus. As we move through the current cycle, our goal is to manage to price/cost neutral. We currently expect first quarter margins to show improvement on a sequential basis and be in line with prior year results. As a reminder, additional tariffs went into effect in early August, including the doubling of duties on steel and aluminum. We took a pricing action in early January 2026. Our goal is to mitigate tariff disruptions to our business and for customers, and we believe we are well positioned to do so. Our teams have done an excellent job diversifying country of origin exposure, and we continue to proactively manage price. Selling, general and administrative spending for the quarter was $99.5 million, an improvement of 20 basis points as a percentage of sales as compared to the fourth quarter last year. The increase in absolute dollars was largely due to the incremental salary and variable expenses due to the additional week in the fourth quarter. In addition, given the improved financial results, we recorded approximately $3 million in incremental expense associated with variable bonus and commission expenses as compared to last year. SG&A reflected strong general and discretionary cost control, including improved leverage within our marketing expenses. Operating income from continuing operations was $19.6 million, an increase of 35.2% in the fourth quarter and operating margin was 5.7%. Operating cash flow from continuing operations was $20 million in the quarter and $77.7 million for 2025. Total depreciation and amortization expense in the quarter was $1.9 million, including $0.8 million associated with the amortization of intangible assets. Capital expenditures were $0.8 million in the quarter and full year capital expenditures were $3.1 million. We expect 2026 capital expenditures in the range of $3 million to $4 million, which primarily reflects maintenance-related investments and equipment within our distribution network. Let me now turn to our balance sheet. As continues to be the case, we have a strong and liquid balance sheet with a current ratio of 2.2:1. As of December 31, we had $67.5 million in cash, no debt and approximately $120 million of excess availability under our credit facility. In the fourth quarter, we repurchased approximately 326,000 shares of stock. And year-to-date, we have repurchased an additional 14,400 shares for a total of $9.8 million. We currently have approximately 1 million shares available under our 2 million share buyback authorization. The stock repurchase is a disciplined way to return value to shareholders, and it highlights the Board's confidence in the long-term potential of the company as we continue to generate strong cash flows, maintain a healthy balance sheet and execute against our strategic plans. We continue to fund our quarterly dividend, and our Board of Directors declared a quarterly dividend of $0.28 per share of common stock, an increase of $0.02 per share. I will now turn it back to Anesa for closing remarks.
Anesa Chaibi: Thank you, Tex. I'm proud of how the Global Industrial team executed in 2025. It was a year of change, starting with me joining the company and then with the overlay of the challenging tariff landscape. The team focused on what we could control and mitigated the risk of the things that were out of our control, all while adapting to a significant amount of change. We delivered strong performance and initiated a realignment of the organization for the future, one we believe will allow us to scale the business and accelerate our growth. We are entering 2026 from a position of strength, and we are pleased with our performance and excited about our growth strategy. The team will continue to learn, test and pivot as we look to improve and optimize our performance. I want to thank all of our associates for their hard work and dedication. The progress we made in 2025 is a direct reflection of their commitment to our customer success and to our company. Thank you for your interest in Global Industrial. Operator, please open the call for questions.
Operator: [Operator Instructions] The first question comes from Anthony Lebiedzinski with Sidoti & Company.
Anthony Lebiedzinski: Certainly nice to see the better-than-expected results here in the quarter. I know you said that there was both pricing and unit volume increases. Can you provide any additional color on those 2 topics? And wondering if you could also comment on how sales progressed throughout the quarter as we went from October through December?
Thomas Clark: Yes, Anthony, thank you for the question. I think to answer your last question first, sales were pretty consistent throughout the quarter. We had a solid growth profile in each month in the quarter, and it was fairly consistent without a lot of volatility in the individual periods outside of what we talked about on the intro of this call with December having an additional week of sales. So that reflected higher absolute growth rates. But on an average daily basis, it was quite consistent within the period. In terms of your first question, pricing was still the majority of the growth rate, and it was up on an ADS basis mid-single digits with volume coming in at low single digits across the business in the quarter.
Anthony Lebiedzinski: Got you. And then given the latest tariff announcements that we heard over the last few days, how should we think about the pricing environment and the impact, if any, on gross margins?
Anesa Chaibi: Yes. Great question, Anthony. Thank you. It's very early days real time, and it's still moving around, not unlike when we had our first quarter call last year, where we knew that was potentially around the corner, and it actually took effect in April. So I would say the team has become more nimble. We've reframed countries of origin and redistributed where we source our materials, et cetera. So we're prepared for whatever or however this unfolds. But at this point, we've not changed anything fundamentally, and we will navigate our way through this as it starts to become more and more clear because as you're well aware, if you saw Friday, it was 10%, then there was implications or new headlines of 15%. So we're waiting -- we're watching and waiting and then we'll do not unlike how we executed last year to mitigate the risk as best we can. But at this point, I think we're in this with everyone else that's in the same space of just dealing with how this unfolds. So I think it's just simply a little too early to predict.
Anthony Lebiedzinski: Got it. Yes. So then in terms of just your commentary earlier, and this is something that you also talked about on prior calls as well, pivoting away from transactional customers and focusing more on group buying organizations and enterprise customers. Can you share perhaps or give us some color as to how much of these larger customers, how much of these clients represent as a percentage of sales? And what's the typical kind of margin profile as we think about how this may impact your business going forward?
Anesa Chaibi: Yes. I think I understand the question. I guess I'll do my best. I guess what I would say to you, the transactional customers were more episodical once and done, what have you, and we had the organization focused quite a bit of energy on that previously. And I would say what we've now done is realigned our sales teams to go and work on the accounts where we already have access to the account. It's the opportunity to gain greater share of wallet, further penetrate those accounts. The margin profile, I would say, is slightly higher, if not improved versus the area where we want to kind of migrate away from just once and done. I would say we had a lot of promotional activity last year online that what we want to do is balance that out so that it shifts and that we're chasing the right kind of profile of customer. But more importantly, what I would say we are doing now is leaning more into longer, sustainable, repeatable customers. versus more transactional as a whole. So I don't have a specific number, but I'll let -- I'll defer to Tex to chime in as well.
Thomas Clark: Yes. Anthony, I'll just maybe supplement that just a bit. So I think specifically on the gross margin profile, it is going to be slightly lower, as you would imagine, with some larger customers. But when we look at the overall profitability of the customer, that's where we see it's actually going to be a more profitable overall long-term customer relationship given that you're building that relationship over time versus, again, a transactional once-and-done customer. Somebody comes once to your website then you're paying to acquire and they're having that one purchase, which all typically would have been in that low average order value range as well. So when we look at total customer contribution and profitability, this mix is going to be a benefit to the overall company margin profile going forward. In terms of ratio as a percent of sales, we haven't disclosed the individual breakouts of these segments. But again, there's going to be -- these GPOs and strategic customers are going to make up north of 20% of our volume today, but we still have a strong kind of mid-market and mid-market to large mix within our sales force as well -- or our customer base as well.
Anthony Lebiedzinski: That's very helpful color. And best of luck.
Anesa Chaibi: Thanks, Anthony.
Thomas Clark: Thank you.
Operator: The next question comes from Michael Francis with William Blair.
Michael Francis: Good quarter. I wanted to start on the ADS. I just love to know how much of the growth was your own actions and share gains versus an improved market backdrop?
Thomas Clark: Mike, yes, I mean, again, as reported, we're about 14% growth overall, 7.8% average daily sales. So when we think about what's going on in the market, I think the market actually performed a little better than some of us expected. We've seen things even continue to trend positively in the first quarter with things like the PMI expanding to about 50 in January. So there is market momentum. But I think when we look at our performance and we look at different break down customer penetration and order volume, we believe that we did take share in those areas by our actions. So we don't have a great view of exactly what that market grew in the period. But again, we do believe that we gained share through what our targeted actions were.
Anesa Chaibi: Yes. And Michael, what I'll add is we also were very focused on improving our operational and fulfillment execution as well. And so that contributed to progress and having the right product at the right price to be able to capture the share.
Michael Francis: That's good to hear. And then within that growth as well, is there any sort of recovery on the SMB side of things? Was the growth more on the enterprise side of things? Or was it kind of broad-based?
Thomas Clark: Yes. So I think one thing I would add some color to that, Michael, was we did highlight that we saw some improvement in volume in our web business overall. So we actually had good marketing leverage and good web business. And the key was being very targeted in that web experience overall and making sure that our sales, merchandising and marketing teams were fully integrated in their efforts to go after the right customers. So that did drive some growth, and we had been facing some headwinds in some of that web business earlier in the year that did, I'll call it, fully anniversary by the time we exited Q3. So in Q4, we did return to growth in the web business. But again, we were very happy with the customer mix that we saw in the period.
Anesa Chaibi: We also added to the assortment and the products that we took to market. So that also enabled us to pursue new customers or to further, as I said earlier, to Anthony's question, further penetrate and gain greater share of wallet of existing accounts that were already aligned with us.
Michael Francis: All right. And then last one for me. I know SG&A was up substantially, and you called out the incremental compensation expense. Is there anything else to call out in there? And then the other half is as we think about 2026, how should we think about SG&A?
Thomas Clark: Yes, Michael, absolutely. So again, the one key was clearly, as mentioned, we had the additional variable compensation expense in the quarter. And that's a combination of -- if we think about last year, we had a soft quarter in Q4 2024. So we actually were -- had a reduction of some of that variable comp, both on commission and bonuses. This year, you had the increase in costs. So that relative gap widened just on a relative comparison between Q4 last year. and Q4 this year. And just again, just from a pure absolute number of days period. So we had an extra week of compensation. So we had that extra 14th week in the quarter. So all variable costs and all compensation costs were increased in the fourth quarter simply because of we paid people for the last week of the year. So that's a kind of normal ordinary course. So we would expect really SG&A management and SG&A leverage continues to be an area of focus. So think about it as a percentage of sales, shooting for kind of neutral to improvements going into 2026.
Operator: This concludes our question-and-answer session and today's conference call. Thank you for attending today's presentation. You may now disconnect.